Operator: Good morning, everyone, and welcome to Sculpture's First Quarter of 2022 Earnings Conference Call.  As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Ellen Conti, Head of Corporate Strategy at Sculptor Capital. Please go ahead, ma'am.
Ellen Conti: Thanks, Judith. Good morning, everyone, and welcome to our call. Joining me are Jimmy Levin, our Chief Investment Officer and Chief Executive Officer; Wayne Cohen, our President and Chief Operating Officer; and Dava Ritchea, our Chief Financial Officer. Today's call contains forward-looking statements, many of which are inherently uncertain and outside of our control. Before we get started, I need to remind you that Sculpture Capital's actual results may differ, possibly materially, from those indicated in these forward-looking statements. Please refer to our most recent SEC filings for a description of the risk factors that could affect our financial results, our business and other matters related to these statements. The company does not undertake any obligation to publicly update any forward-looking statements. During today's call, we will be referring to economic income, distributable earnings and other financials that are not prepared in accordance with U.S. GAAP. Information about and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings release, which is posted on our website. No statements made during this call should be construed as an offer to purchase shares of the company or an interest in any of our funds or any other entities. Today, we reported first quarter 2022 GAAP net income of $16.9 million or $0.63 per basic and a loss of $0.29 per diluted Class A share. First quarter distributable earnings were $29 million or $0.48 per fully diluted share. Additionally, we declared a cash dividend of $0.11 per Class A share. All earnings metrics discussed by both Jimmy and Dava will be on our non-GAAP economic income and distributable earnings metrics. I will now hand the call over to Jimmy.
James Levin: Good morning, everybody. Thanks for joining the call. I'm going to go over some business highlights before handing it over to Dava to cover the financials in more detail. We're proud of the results that we were able to deliver in the first quarter, both for our fund investors as well as for our business, especially against what has been an incredibly difficult macroeconomic backdrop. We saw pretty massive disruptions in almost all major markets, leading to what are historically significant declines in pretty much every equity, fixed income and credit market leaving a pretty broad swath of the investment world in a state of either stress or even distress in certain cases. If you look historically, times like this have generally been good for our investment style. We've been able to weather storms like this both before, during and after them, we've typically been able to generate outperformance. So for our longer-term business, we welcome market challenges like this and use them as an opportunity to thrive. Periods of market distress like this also historically have been catalysts for clients to seek our investment capabilities, both as a safe haven to a certain extent as well as an opportunity to capture outperformance from the stress and distress that environments like these tend to create. Say specifically within credit, which historically has been a core capability of ours, there has been a truly dramatic repricing of risk almost across the board. And that's been driven by a material rise in rates, a material widening in spreads, and then maybe what is harder to detect from looking at general information, a pretty significant widening in the illiquidity or complexity premium over rates and spreads, which oftentimes is where we focus our investments, both in our credit funds, our real estate funds, our multi-strategy funds, really across the board. And as we enter a world where things like recession, inflation, rising rates continue to remain at the forefront the need for capital from corporates, from real estate owners from assets in general tends to be quite acute, and that's great for capital providers like us who can be flexible and dynamic in the face of some of those difficulties. On the business side, turning to flows. We've talked about this a lot, but 2021 was a really material turning point for the business. We went from a pretty long stretch of some difficulties on the flow side to what we're on an absolute basis, material gross inflows and importantly net inflows into our multi-strategy funds. In the first quarter, we continued that momentum. Gross inflows into multi-strategy funds of almost $500 million and positive net inflows of just over $300 million. We've said it before and we'll say it again, I'm sure, in Q&A. We can't predict what near-term flows look like, but it's a pretty powerful overall trend line zooming out over years and the fact that we've been able to continue that into 2022, again, against what feels like a pretty challenging macro environment to us means the thing that we are doing is working and it is gaining traction. We've also been discussing what we are doing to plant seeds for the future, for future growth and for new initiatives. And the first quarter was quite important on that front as well. We had 3 different closes in the first quarter that are all meaningfully strategic for the near intermediate and long-term trajectory of the business. So we had a first close in our second real estate credit fund. We had a first close in our most recent closed-end credit fund called Stacks, which I believe is the seventh closed-end credit fund in our history. Our first real estate credit fund was $750 million. I believe our most recent closed-end credit fund several years ago was around $500 million. And we obviously hope to have additional closes both on the Stacks fund and on that real estate credit fund -- Real Estate Credit Fund II, I should say. The other development in the quarter was the closing of our structured investment solution that we mentioned in our earnings release. And that is a vehicle tailored specifically to meet the needs largely of insurance clients. And so when we looked at our capabilities on the credit side, on the real estate side and on the multi-strategy side, and we're certainly not the first to do this. But as we look across the investment universe, a lot of what we do is perfect for the insurance industry balance sheet. And what it requires is a tailored solution that looks to optimize for that client base their capital needs, their rating needs, their return needs as well as their liquidity needs. And so we were able to create a solution that allows for a capital-efficient format with a long-term time horizon. That allows us to deploy capital across a pretty wide breadth of our funds over a 5- to 8-year life. Also of note for this type of investment product is that it's not executed through the traditional institutional fundraising channel. It's executed through a more capital markets style channel, which is more akin to our CLO franchise over time. We were also investors in this structure, both to help support the solution as it develops and because we think it'll hopefully provide a great return for our balance sheet. The broader trend is to continue to look at who are large allocators to the alternatives market, where do we have investment skills that we think can be great for those investors and how do we create solutions to help marry those 2 items. Away from that, moving on to our balance sheet. We've talked about this many times, but having a strong balance sheet, we view as a requirement. The players of scale in our industry have strong balance sheets. They use that to compete, and we need that to compete as well. And in the first quarter is when we first started to really utilize that balance sheet for that growth. In addition to that, and we did this in parallel, but we've said for a long time that we will also always evaluate what the optimal capital structure is and whether or not to return additional capital to shareholders and in what form. And so we -- as everyone knows, we authorized a buyback of our stock, and we started to execute on that in the first quarter. When we think about that buyback, we start with a lot of the math that we went through on our last call, which is we look at our adjusted net asset position. We evaluate our ABURI in excess of any future compensation against that ABURI. And then we look at what we think our management fee-related earnings power is and what we think our incentive fee-related earnings power is. And when we do all that math, we think buying back our own stock today represents a really attractive use of capital. It's always a tough call because we have a quite long list of areas in which we want to grow that we know are going to require our capital. But when presented with the type of opportunity that we see in our own stock, we wanted to do that in parallel. So we will continue to try to build our balance sheet. We will continue to try to deploy our balance sheet for growth, and we will continue to try and take advantage of what we think is a great opportunity to buy back our own stock. So with that, I will hand it over to Dava.
Dava Ritchea: Thanks, Jimmy, and good morning, everyone. I'd like to build on a few of the key topics that Jimmy just discussed, focusing on our balance sheet, capital management strategy and finally, on shareholder transparency. Since the start of the distribution holiday, we have focused on rebuilding our balance sheet by first materially reducing our debt position and then by increasing our net asset position. Adjusted net assets was $282.8 million as of the end of March, up from a deficit of $55.8 million in 2018. The goal of the expanded balance sheet was to first ensure that we can play defense during challenging times and, to second, start to play offense by investing in growth initiatives for our business. One of the investments we made was in our newly launched structured alternative investment product. We are excited to provide the solutions for our insurance clients and hope to continue to launch these into the future. The structured alternative investment product is a long-duration structure that deploys capital across funds on our platform, including the multi-strategy credit and real estate funds. We closed on this solution in the middle of March and reported the assets under management for the third quarter in our ICS business as the underlying capital was initially deployed into money market investments ahead of our fund commitment date. Beginning on April 1, we started to deploy this capital across various funds on our platform. As this capital was deployed, we reported inflows into the various underlying funds and corresponding distribution from the ICS business. Going forward, you will see the AUM for this solution located in our reporting based on the underlying fund investments. Because we invested alongside our clients in this product, we have consolidated the full structure onto our GAAP financial statements starting this quarter. While new items will appear in our GAAP financial statements, there will be no impact to economic income from this consolidation. Next, I wanted to expand on our capital management strategy. During the quarter, the Board authorized a share repurchase program of up to $100 million of common stock. At our current share price, this represents a significant amount of our public stock outstanding. During the quarter, we repurchased 474,000 shares at an average price of $13.19, which was $6.2 million for the quarter, and approximately 1 million shares in the aggregate at an average price of $12.56 for a total of $12.3 million through May 1. At these stock prices, we believe this is one of the most attractive uses of our capital. We also announced a cash dividend of $0.11 per Class A share for the first quarter, which represents 10% of distributable earnings. We expect to target a dividend of 10% of distributable earnings to Class A shareholders for the second and third quarters of 2022. And then in the fourth quarter, we expect to true up our dividend to bring full year dividends to 20% to 30% of distributable earnings. This pacing during the year is a more sensible prudent approach to our dividend policy as it better aligns dividend payments with earnings given the timing of incentive income and bonus expenses. Importantly, this is not a change to our annual dividend policy, just to the timing of those payments throughout the year. As a reminder, during the distribution holiday, we only pay dividends to Class A shareholders. Taking the dividends and share repurchases together, for the first quarter, we are returning $9.1 million to shareholders, $6.2 million of that via the share repurchase program and $2.9 million via our dividend. We will continue to be thoughtful in maintaining the ongoing balance of a strong core balance sheet, deploying capital to areas of growth and returning capital to shareholders. With that in mind, there is no change to our guidance that we gave last quarter on our proposed dividend policy post the distribution holiday. We're still expecting to pay between 50% and 75% of distributable earnings annually once the distribution holiday expires. Lastly, I'd like to provide an update on our disclosure reporting. We remain focused on providing thoughtful transparency on the business and are proud of the work we've done over the past year to transform our materials and our shareholder communication. To that end, we introduced fee-paying AUM this quarter as we believe this is an important metric and better aligns our disclosure to our peers. Previously, we had disclosed average fee rates that allowed you to calculate the fee paying AUM, but we're now showing the metric and the related roll-forward table directly in our reporting. We are also announcing a change to our monthly AUM and multi-strategy performance 8-K filings. Going forward, we will not issue a monthly 8-K to disclose this information. We will continue to disclose AUM on our website on a monthly basis, and we will disclose performance quarterly as part of our earnings release. This change is appropriate for the state of our business today. Previously, our multi-strategy fund was the vast majority of our AUM and accounted for the majority of our revenues and therefore our earnings. If we look at our business today, we have successfully grown and diversified our platform with our multi-strategy funds now representing just 28% of our AUM. We believe this filing has been more of a distraction versus meaningful disclosure in the recent past as it provided an incomplete and therefore confusing window into our business on a monthly basis. We think it's better to give the complete window as part of our quarterly earnings release, as is the standard for public company. We will continue to strive to improve shareholder transparency over time to ensure that the information we are providing to you is appropriate and meaningful to our overall business fundamentals and key earnings drivers. With that, I'll hand the call over to the operator and open it up to any questions.
Operator:  The first question comes from Bill Katz of Citigroup.
Bill Katz: Okay. I think that's Bill Katz. Maybe we could start with just what you're doing in the insurance channel a little bit and just maybe a couple of related questions. I apologize for the packing of these questions. But can you actually unpack your balance sheet a little bit just in terms of how much of the move from cash into investments will sort of migrate back out into fee-paying AUM? And then more broadly, Jimmy, you sort of mentioned that this is going to be part of the ICS platform. Could this business ramp to such a level? How should we think about sort of incremental mandates here?
James Levin: Sure. So the ICS question, and hopefully, Dava clarified this in her prepared comments, but the day the vehicle closes, the capital comes into money market funds and thereby is appropriately reflected in ICS. Once the capital then gets deployed across the underlying funds in which it invests the capital then appears in those line items. It just so happened that the transaction closed, I think, in mid-March, and that capital has largely already been deployed or being deployed across the underlying platform where you'll see it reflected in multi-strat credit and real estate over time. As far as what the future of that line of business is or what the future of insurance generally is, and we've talked about this plenty before, the insurance market is one of the biggest allocators to not just alternatives but to really all forms of credit and real estate assets generally. And we historically have thought of the insurance industry as great clients for our funds. And by the way, the insurance industry continues to be great clients for our funds. What we have yet to do until now in a more meaningful way is figure out how do we more specifically structure what we do for that market and whether that's in the form of this type of structured alternative investment solution, whether it's in other forms of funds, SMAs, direct relationships, et cetera. There's an investment skill that we think we have, again, particularly in credit real estate is probably what suits that market most directly that we ought to be able to figure out how to deliver in a more helpful way to the insurance industry. And that is a big focus of ours. I think you have some more specific numerical questions, I didn't quite follow, but I'll kick it back to you, Bill, and you can try again.
Bill Katz: I'll leave those for a follow-up. So maybe another big picture question for you. Just appreciate the capital allocation decisions. Particularly where the stock is trading, that certainly makes sense to us. So as you think about go forward from here, as I look at your balance sheet, you migrate a fair amount of your cash to investments. So as you think about buyback here, is it now a function of free cash flow? Or how should we think about balancing what you see as pretty deep value versus your balance -- real-time balance sheet liquidity and earnings stream that's a little more geared to year-end?
James Levin: Yes. I think we're going to take that all as it goes. I mean we're doing the math constantly of what is our economic balance sheet position versus our liquidity versus our earnings profile versus the short- and long-term returns of how we can deploy that capital versus what we think the returns are of buying back our own stock. So there's a whole host of moving pieces that go into it, and we continuously evaluate and reevaluate.
Bill Katz: Can I sneak just one more in? Just on the hedge fund, certainly, it seems like it's accelerating, which is nice to see. How should we think about the interplay between just a more volatile backdrop, which certainly fits well with what your capital protection type of mandate versus the potential for negative return? And how much might that stall some of the momentum?
James Levin: Sure. So negative return in and of itself doesn't necessarily solve momentum. Our objective is to experience a fraction of the downside of broader equity markets. So in significantly down markets, and you can go back to the financial crisis or the COVID crisis, our hedge funds can experience negative returns. The key for us is how are our returns versus the market, how is our volatility versus the market's volatility. As far as forecasting near-term flows, as we've said, it's always hard to do that. It's especially hard to do that when you get these explosions in volatility, right? So just generally speaking, when you're looking at a world where VIX is 35 and broad equity markets are down at 15% depending on the day and even things like treasuries, IG corporates, high-yield bonds have indices that are down 8% to 15%, those extreme bouts of volatility make short-term forecasting especially difficult. But negative returns in and of themselves are not problematic per se in the way you're asking.
Operator: The next question comes from Gerry O'Hara of Jefferies.
Gerry O’Hara: Great. Perhaps -- I think you touched on this in a prior quarter, but can you perhaps just remind us on how the decision to kind of come down on that 50% to 75% range post the distribution holiday was arrived at? And I suppose related to that, if you could just give us a quick update as to where you stand as it relates to working way through that distribution holiday?
James Levin: Sure. So what we've said is expect 50% to 75% that it's not likely to be in excess of 75%. And if there was some incredibly compelling use of capital, it could be below 50%. But 50% to 75% is a pretty reasonable range to expect. And as to what motivates that, we generally want to be in the business of distributing some portion of our earnings. I think it's what investors have come to expect, and we think it's a reasonable thing to do. And that's the framework around the 50% lower bound guidance. As far as why 75% and why not 100%, as we continue to emphasize, we -- the building of the balance sheet is a never-ending pursuit. There is such a long list of things we want to do that require capital that we basically always want to be in the business of accumulating some. And so as we think of the widest possible range of 0 to 100, 50, we want to be the lower bound because we want to be distributing some reasonable portion of our earnings. And we view 75 as a reasonable upper bound guidance because we want to be able to continue to retain earnings so that we have the ability to play offense, whether that means seeding new businesses, creating new products or as we're doing now, if there's great times to be repurchasing our stock, then we want to have that capital available as well.
Dava Ritchea: In terms of where we are in the distribution holiday, the requirements were to earn $600 million. We've earned $500 million of that. So we have about $100 million left to go.
Gerry O’Hara: Okay. That's helpful. And then I guess in the commentary or prepared remarks I guess in the earnings release, there was some commentary suggesting increased traction around new platforms, gatekeepers, asset allocators. I was just hoping you might be able to unpack that a little bit and give us kind of a sense of what's driving that and where it could potentially go here over the next 12 to 18 months?
James Levin: Sure. So I think what's driving that is continued solid investment performance as well as passage of time from the difficulties of the past as well as the remediation efforts we took on what were some of those issues in the past. So not to belabor the point, but we went through a period of time where it was obviously very difficult for us to attract new capital for what were, frankly, some fairly obvious reasons. And there were steps we needed to take to put ourselves in a position to attract flows and then time needed to pass for the world to believe that. And during that period of time, we needed to do the thing that is the underlying cause of people seeking our services to begin with, which is that we need to do a great job managing our clients' capital. And we were thankfully able to do all of those things over multiple years, and that has led to increased traction. It's very hard to pinpoint a specific thing or a specific timing, which is why we generally try to highlight, and I think we did this in the prior quarter, look at a 5- or 6- or 7- or 8-year analysis of what those gross and net flows looked like, then look at what they started to look like in 2021 once we had accomplished those various items I just laid out, and then look at how that continues into 2022. And we think the shape of that chart is pretty telling and gives us bigger picture confidence.
Operator: I'm not showing any further questions in my question queue. I will now turn the call over to Ms. Conti. Please go ahead.
Ellen Conti: Thank you, Judith, and thanks, everyone, for joining us today and for your interest in Sculptor Capital. If you have any questions, please don't hesitate to reach out.
Operator: Thank you. Ladies and gentlemen, that concludes today's conference. You may now disconnect your lines.